Operator: Greetings and welcome to the Fiscal 2023 Second Quarter Earnings Call for Applied Industrial Technologies. My name is Malika, and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Ryan Cieslak, Director of Investor Relations and Treasury. Ryan, you may begin.
Ryan Cieslak: Okay. Thanks Malika, and good morning to everyone on the call. This morning, we issued our earnings release and supplemental investor deck detailing our second quarter results. Both of these documents are available in the Investor Relations section of applied.com. Before we begin, just a reminder, we'll discuss our business outlook and make forward-looking statements. All forward-looking statements are based on current expectations subject to certain risks and uncertainties, including those detailed in our SEC filings. Actual results may differ materially from those expressed in the forward-looking statements. The company undertakes no obligation to update publicly or revise any forward-looking statement. In addition, the conference call will use non-GAAP financial measures, which are subject to qualifications referenced in those documents. Our speakers today include Neil Schrimsher, Applied's President and Chief Executive Officer; and Dave Wells, our Chief Financial Officer. With that, I'll turn it over to Neil.
Neil Schrimsher: Thanks Ryan, and good morning, everyone. We appreciate you joining us. As usual, I'll begin with some perspective and highlights on the key drivers of our results, including an update on industry conditions as well as expectations going forward. Dave will follow with more detail on the quarter's financials and provide additional color on our outlook and guidance, which we've raised this morning. And then I'll close with some final thoughts. So overall, we had another solid quarter with favorable performance across really all our businesses. Year-over-year organic sales growth strengthened, exceeding 21% in both segments. Our teams are doing an exceptional job at managing cost and driving continuous improvement initiatives. We expanded EBITDA margins to a new quarterly record of slightly under 12%. Looking at it over an extended period, our EBITDA margins have expanded nearly 300 basis points over the past three years. At the same time, we continue to invest in talent, safety, technology, and our service solutions further enhancing our capabilities and operational strength for the future. Taken together our respective sales, EBITDA and EPS was 21%, 36%, and 41% over prior year levels. As a reminder, we're facing more difficult comparisons these days. So to see this level of sustained sales and earnings growth is noteworthy and a strong indication of our enhanced growth profile and earnings power. I want to thank our entire team for their ongoing effort and focus on optimizing and positioning Applied to achieve these results. This progress is particularly exciting as we reflect on our company's history, including celebrating our 100-year anniversary a couple of weeks ago with more than 6,000 associates, a very proud and gratifying moment for Applied and our talented teams around the world. Our rich history and culture will remain a guiding framework to our strategy and evolution going forward, along with our valued supplier and business partners who work every day to help us serve our customers and advance our leading technical capabilities throughout our industry. So a few key points and areas I want to emphasize to provide more detail on what's underpinning our performance and opportunity moving forward. As it relates to underlying demand, we saw positive momentum sustain across many areas of our business during the quarter. Sales growth held strong throughout the quarter and exceeded our expectations. Sequential sales rates were above normal seasonal patterns, including solid trends through or during December. While order rates are slowing to more normalized level in some areas and markets as expected, customer commentary remains fairly positive and we've yet to see any meaningful slowdown to date. We are mindful of the ongoing cross currents facing the broader economy, which likely will continue to impact industry-wide activity in the near-term. That said, we remain constructive on our position and growth prospects long-term with our first half performance reinforcing this view. Of no, we believe we're benefiting from a more diverse mix of end markets and growth tailwinds. This is partially tied to our multi-channel strategy and business evolution in recent years. As we've highlighted before, we are favorably positioned to capitalize on key secular growth trends, gaining momentum across the North American industrial sector, including greater infrastructure spending, reshoring and aging and scarce technical labor force and incremental growth opportunities resulting from government stimulus spending. Similar to last quarter, customers continue to work through elevated backlogs. They're also embracing a higher level of technical maintenance requirements and capital spending, focused on reinforcing supply chains and equipment within their production facilities. This is particularly meaningful considering an aged U.S. production infrastructure. Service, reliability and efficient access to leading suppliers’ premium brands and technologies are more critical than ever. Overall, this is supporting demand for our comprehensive maintenance and engineering solutions. We're also executing on a number of internal initiatives aimed at driving greater salesforce effectiveness. We're using more analytics and various sales process tools to identify and capture new business opportunities. Ongoing talent investments continue to supplement our sales momentum as well. In addition, we're seeing solid traction with our cross-selling initiatives from flow control products supporting process maintenance to emerging robotic technologies, addressing labor and safety initiatives at our customers' facilities. The full suite of our technical solutions we offer today is meaningful to our value proposition. Our teams across our multi-channels are increasingly collaborating and solving problems for our customers as they face labor constraints, reassess supply chain strategies and embrace required technology investments. More and more, our customers recognize us as a leading solutions provider, integral to their most valuable production assets and supply chain reliability. Many of these internal sales growth initiatives have been instrumental to our Service Center segment results where organic sales growth exceeded 20% for the third straight quarter. In addition, our local service centers continue to benefit from a productive U.S. manufacturing backdrop and related demand for break-fix MRO support. There also remain focused on managing ongoing inflationary pressures and working effectively through supplier price increases. Gradual increases in infrastructure spending are driving greater demand from our aggregate mining and machinery customers. We also believe growth opportunities are arising as customers continue to consolidate their spend with more capable distributors offering leading technical support and solutions. This is particularly relevant given our market focus around critical motion and powertrain products in demanding applications, including notable requirements around supplier brands and local service reliability. We did see some slowing in select end markets during the quarter, such as metals, milling and lumber and wood. However, booking levels remain relatively firm month to date in January as customers reset budgets and remain generally productive. While our Service Center segment is not immune to cycles and potential slower industrial production activity in coming quarters, we believe the segment is exposed to more secular and company specific tailwinds today than in prior cycles, potentially providing a greater level of sales support if a slower environment does manifest. Within our Engineered Solution segment, which includes our Fluid Power, Flow Control, and Automation offerings, organic sales growth accelerated 300 basis points from last quarter, increasing over 21% year-over-year, despite a meaningful prior year comp of 19% growth. Backlog strength is providing solid revenue coverage with no material signs of cancellations at this point, modest improvement in some areas of the supply chain is helping release shipments of various system assemblies previously pent-up by component shortages. In addition, underlying growth prospects remain favorable within our core fluid power, industrial and off-highway mobile verticals. Our technical and engineering capabilities are in greater demand from smaller Tier OEMs as they face rapid innovation and accelerate integration of advanced features into their equipment. We are also integral to our customer sustainability initiatives from enhancing the overall efficiency and life cycle of hydraulic systems and power units, to helping design and integrate new electrification features within fluid power systems. While we're in the early innings of the development of these opportunities, they are positively influencing our business funnel and represent an emerging area of potential growth for Applied longer term. In addition, demand and booking levels remain solid for our higher margin process flow control products and solutions. MRO activity and maintenance project spending on process infrastructure remains positive in core end markets such as chemicals, refining, petrochemical, utilities, and metals. We also continue to benefit from our customers decarbonization efforts and other required infrastructure investments, as end market transition around new energy requirements. Additionally, we are seeing sustained progress in cross-selling our flow control solutions through our service center network, as we connect customers to these leading process capabilities. Our strategic expansion into flow control back in 2018 is a great example of the evolution of our channel capabilities and end market mix that we believe is providing more resiliency to our growth and margin profile today. We continue to make further progress expanding our advanced automation platform as well. We saw solid organic sales growth in the quarter and underlying order momentum remains healthy. Customer interest and new business opportunities are being driven by labor constraints and evolving production considerations. These trends are expanding the need for our leading engineering capabilities across functions such as machine tending, palletizing, and quality control. We are making traction with our greenfield expansion initiatives and developing new approaches to best serve our embedded customer base and further enhance our market position, including through proprietary turnkey solutions and leading application expertise. In addition, we announced the acquisition of Automation Inc. in November, which represents the fifth automation acquisition over the past four years, with annual sales around $25 million the transaction further optimizes our automation footprint in the Midwest, as well as our strategy of providing leading next-generation solutions around machine vision, robotics, and motion control. We welcome Automation Inc. and look forward to leveraging their capabilities going forward. Overall, the momentum sustaining across our core operations and emerging solutions is encouraging. At the same time, our teams remain focused on driving strong returns as this growth continues to manifest through both consistent execution and continuous improvement actions. For those that have been around Applied for a while, you know we have a deeply ingrained culture of operational execution and cost accountability. This remains apparent as we continue to manage inflationary pressures and drive high team incremental margins despite ongoing LIFO headwinds. At the same time, we've significantly improved our return on capital profile over the past several years, hitting strong double-digit levels in recent quarters, highlighting the value creation potential embedded across our business and strategy. And lastly, we ended the quarter with a healthy balance sheet and net leverage at one times and over $1 billion in balance sheet capacity. Our M&A pipeline is active across our priority areas of Fluid Power, Flow Control, and Automation. We remain disciplined as always, and continue to evaluate a number of attractive M&A opportunities that could enhance our growth and competitive position going forward. At this time, I'll turn the call over to Dave for additional detail on our financial results and outlook.
David Wells: Thanks Neil and good morning everyone. First, another reminder that our supplemental quarterly recap is available on our investor site for your additional reference. Turning now to details of our financial performance in the quarter. Consolidated sales increased 20.9% over the prior year quarter. Acquisitions contributed 50 basis points of growth, which was more than offset by a 70 basis point headwind from foreign currency translation. The number of selling days in the quarter was consistent year-over-year. Adding these factors, sales increased 21.1% on an organic basis. As it relates to pricing, we estimate product pricing was a mid single digit percent contributor to the year-over-year sales growth in the quarter. As a reminder, this assumption only reflects measurable top line contribution from price increases on SKUs sold in both year-over-year periods. Turning now to sales performance by segment. As highlighted on slide six and seven of the presentation, sales in our Service Center segment increased 21.1% year-over-year on organic basis when excluding the impact of foreign currency. Year-over-year sales growth strengthened across our large national accounts during the quarter. We also continued to see favorable growth from smaller local accounts. When looking at the sequential increase in segment growth, the biggest end market contributors were chemicals, pulp and paper, aggregates, rubber and plastics, and mining. We also saw solid fluid power aftermarket sales growth in the quarter, reflecting strong execution and service support from our leading fluid power MRO specialist network. Within our Engineered Solution segment, sales increased 22.5% over the prior year quarter, with acquisitions contributed 140 basis points of growth. This reflects two months of contribution from our Automation Inc. acquisition, which closed in early November. On an organic basis segment sales increased 21.1% year-over-year, and over 41% on a two-year stack basis. Segment sales growth continues to be supported by strong backlog levels across our Fluid Power division, sustained customer MRO and CapEx spending into process flow infrastructure and ongoing demand for our next-generation automation solutions. Extend the supplier lead times and inbound component delays continue to weigh on segment by sales growth during the quarter, though we did see some modest improvement in lead times and supplier deliveries, benefiting system completions and shipment activity during the quarter. Moving now to gross margin performance. As highlighted on page eight of the deck, gross margin of 29.1% decreased 28 basis points compared to the prior year level, up 29.4%. During the quarter, we recognize LIFO expense of $8.9 million compared to $4.7 million in the prior year quarter. This net LIFO headwind had an unfavorable 39 basis point year-over-year impact on gross margins during the quarter and reflects supplier product inflation and ongoing inventory expansion year-to-date. We also faced a difficult comparison from favorable mix in performance, which boosted gross margins in the prior year quarter. On a sequential basis, gross margin performance increased over 20 basis points during the quarter and was slightly ahead of our expectations. Overall, we continue to manage broader inflationary dynamics well, reflecting broad-based channel execution, pricing actions, and ongoing margin countermeasures. As it relates to our operating costs, selling, distribution and administrative expenses increased 9% on an organic constant currency basis compared to prior levels. SD&A expense was 18.4% of sales during the quarter, down from 20.5% during the prior year quarter, which is a new record low. Despite ongoing inflationary headwinds, including higher employer related expenses, our teams are doing a great job of controlling costs in the current environment as we leverage our operational excellence initiatives, shared services model, and technology investments. Combined with the robust sales growth we saw in the quarter we saw in the quarter, EBITDA increased 36% over prior levels, while EBITDA margins expanded 128 basis points over the prior year to 11.8%. This includes an unfavorable 39 basis point year-over-year impact due to LIFO. We've continued to see strong operating leverage resulting in incremental margins in the high-teens despite the ongoing LIFO headwind year-over-year. Combined with reduced interest expense, reported earnings of $2.05 per share increased 41% from prior year earnings per share levels. I am pleased to highlight that this represents the second consecutive quarter of greater than 40% growth in EPS and the eighth consecutive quarter of adjusted EPS growth exceeding at least 25%. Moving to our cash flow performance. Cash generated from operating activities during the second quarter was $62.9 million, while free cash flow totaled $55.6 million. Compared to the prior year, free cash flow nearly doubled, reflecting higher earnings and stabilizing working capital investment. Looking ahead, we expect easing working capital trends into the second half of our fiscal year, including some benefit from the conversion of work and process inventories tied to our Engineered Solution segment, as well as continued benefits from our working capital initiatives. From a balance sheet perspective, we ended December with approximately $166 million of cash on hand and net leverage at 1.0 times EBITDA, which is below the prior level of 1.6 times adjusted EBITDA. Our leverage remains below our normalized range of 2.0 to 2.5 times, partially reflecting the significant EBITDA growth we have experienced in recent years, as well as ongoing debt reduction. We also remain disciplined with our M&A approach focus on targets and valuations, supporting our return requirements and strategic priorities. As it relates to recent areas of capital deployment, we announced in our press release today that we increased our quarterly dividend for the 14th time in 12 years. In addition, as Neil highlighted, we're excited by the acquisition of Automation Inc. in early November, which further enhances our automation portfolio. Our strong balance sheet, industry position and historical M&A focus are valuable attributes for our strategic acquisitions as they look to align their business and associates with the most capable and supportive organizations to best drive future growth and success. Overall, we're in a great position to continue to drive our strategic priorities going forward, including remaining proactive across our organic expansion initiatives, as well as executing ongoing accretive M&A. Turning now to our outlook. As indicated in today's press release and detailed on page 10 of our presentation, we are raising full year fiscal 2023 guidance to reflect the strong second quarter performance and an improved outlook for the second half of the year. We now project EPS in the range of $8.10 to $8.50 per share based on sales growth of 13% to 15% and EBITDA margins of 11.5% to 11.7%. Previous year guide assumes EPS of $6.90 to $7.55 per share, sales growth of 5% to 9%, and EBITDA margins of 10.9% to 11.2%. We are encouraged by our year-to-date performance and see ongoing opportunities supporting our growth and earnings potential in the back half of fiscal 2023. That said, our sales outlook continues to take into consideration prior economic uncertainty, as well as ongoing inflationary and supply chain pressures. We expect ongoing moderation in order rates and more modest pricing contribution in the second half of the year. We will also face more difficult sales growth comparisons in coming months, including most notably during our fiscal fourth quarter. Our updated guidance incorporates these various factors. In addition, based on month-to-date sales trends in January and our near-term outlook, we currently project fiscal third quarter organic sales to grow by low to mid-teen percentage over the prior year quarter. Please note that prior year sales comparisons are more difficult in February and March relative to January. We're also assuming some moderation in underlying billings following strong backlog conversion and back order shipments in recent months, combined with easing demand tied to the uncertain macro environment. We expect gross margins to be relatively unchanged from fiscal 2023 second quarter levels of around 29%. In addition, we assume incremental margins in the mid-teens based on our low to mid-teens sales growth increase assumptions for the quarter, combined with considerations around our annual focus merit increase, effective January 1st, ongoing inflationary pressures and reduced operating leverage as sales growth eases. With that, I'll now turn the call back over to Neil for some final comments.
Neil Schrimsher: Thanks Dave. So to wrap up, I am extremely proud of the Applied team and our performance through the first half of fiscal 2023. The underlying industrial backdrop remains promising long-term across North America, and we are benefiting from our industry position, the ongoing buildout of our advanced solutions and operational focus. We believe various secular and structural tailwinds are providing support to the broader demand environment. This includes an incremental focus on refreshing and expanding industrial production infrastructure and capacity across North America, and greater demand for advanced engineered solutions, particularly as customers manage through labor constraints and accelerate actions to reduce energy consumption. Our strategy and growth initiatives are strongly aligned with these trends and the requirements our customers are facing. Consistent with our commentary from last quarter, the uncertain economic backdrop is reducing transparency into the cadence of underlying orders and growth in the interim. As expected in our updated guidance, we continue to take a cautious approach to our outlook and anticipate a moderating growth environment in coming quarters. That said, we believe any near-term slowdown could be transitional and shortened nature given positive tailwinds underpinning the industrial sector and a greater focus on supply chain reliability in the wake of meaningful shocks faced in recent years. In addition, we enter the second half of fiscal 2023 with our balance sheet and liquidity in a solid position and the opportunity to drive stronger cash generation reflecting our improved margin profile and normalizing working capital requirements. This will support ongoing strategic growth opportunities and shareholder returns going forward. And lastly, following our first half performance, we've made meaningful initial progress toward our intermediate financial targets of $5 billion in revenue and 12% EBITDA margins. These targets provide clear milestones to achieve significant value creation for all of Applied and our key stakeholders long-term. As always, we thank you for your continued support, and with that we'll open up the lines for your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first phone question is from the line of Ken Newman with KeyBanc Capital Markets. Please go ahead.
Ken Newman: Hey, good morning guys. Congrats on the excellent quarter.
Neil Schrimsher: Thanks.
Ken Newman: First question for me, I'm curious if you could just contextualize what your macro outlook assumes for the back half, and I think last quarter you mentioned that the outlook assumes a 500 basis point contraction in IP year-over-year in your fiscal back half. And is that still your expectation, or just how is that -- how has that evolved?
Neil Schrimsher: So, Ken, I think one way we're looking at it, if we take it at the midpoint, we would assume low single digit to flattish year-over-year IP in the third quarter, and then low single digit to perhaps a mid single digit contraction in the fourth quarter. And if we think about, or we look at perhaps the core manufacturing or capital goods portion of those markets, ex inflation, it's probably closer to the low single digit to mid single digit growth in Q3 and then perhaps flattish to a low single digit year-over-year contraction in the fourth quarter. So, we still believe the consumer oriented industries are facing more of this potential contraction than some of our core industrial markets.
Ken Newman: That's helpful. From my follow-up, I -- you talked a little bit about pricing, and obviously it's been a positive contributor here, similar to the prior quarter. Any way you can just kind of help us understand the moving buckets within the organic growth outlook, you still expecting pricing to mirror 2022 at this point? And then, any other way to talk about the benefits of better mix versus volumes?
Neil Schrimsher: Yeah. So, I can start and then probably Dave will come in. As I think about pricing, we would still see increases coming from suppliers. If we compare perhaps to a year ago, they're lower in count and frequency, but we still expect annual lifts or increases coming from suppliers into this time. As we also think about the backdrop of things not easing in an inflationary environment, things around the labor, the supply chain and what has been and continues to be a good demand environment that we don't think those abate. So, we think there's going to be pricing contribution to the overall business and to the top line results as we work through the rest of the fiscal 2023, albeit perhaps at a lower level than we had in the last quarter.
Ken Newman: Okay.
David Wells: And early, as we talked last call, still assume we're going to see that tail off some modest incremental pricing, as Neil has indicated in response to some of those factors, but kind of more of a kind of lower, obviously, tail as we move off here got to be below mid single digits as we get into Q3 and lower single digits as we get into Q4, talking about the comp issue.
Ken Newman: Right.
Neil Schrimsher: And then you referenced the mix side of it, we're still encouraged that as we bring more advanced solutions into the business, we have the opportunity for positive mix contributions around our products and solutions, some of the end markets that we're participating in. So, those should set up favorably as well. And we've said in the remarks, right, we will believe for Q3, in the second half kind of gross margins in a similar range.
Ken Newman: Understood. Maybe if I could just squeeze one more in here. You talked about the benefit of infrastructure spending and federal stimulus being a stronger secular tailwind versus prior cycles. Is there any way that you can help us size what the exposure is for AIT in those end markets today? And maybe what kind of benefit are you assuming, if any, in the new guide?
Neil Schrimsher: So, also, we would say it's inclusive into what we think about into the second half. With that said, I think some of it's just getting started into that side. So that will probably be for us more color in fiscal 2024, because I think it will still take some time to ramp. But if we think about our exposure to kind of some of these mid cycle, later cycle industries, the heavier industries, directly and indirectly, we're probably between 30% to 50% in those industries, machinery and metals and aggregate and equipment and such that are going to benefit from this infrastructure buildout, and also the technology sector that will participate in that as well, be it 5G and data warehouse and storage and others. So, we think the underpinnings of that occur more late this fiscal year and really into the back half of the calendar year.
Ken Newman: Excellent. Thanks for the color.
Operator: Thank you. Our next question is from the line of Chris Dankert with Loop Capital. Please go ahead. Your line is now open.
Chris Dankert: Hey, morning. I guess congrats first on the near-term impressive results and on the 100-year anniversary to the whole team there. I guess kind of jumping in here, core organic growth in both business really accelerated versus the first quarter. I mean, that wasn't in our expectation, I don't think in your words either. You touched on some pieces, but can you just kind of maybe sharpen up what -- the real driver of the outperformance in 2Q was on the kind of the core organic basis?
Neil Schrimsher: Well, I think there are a few things you take it across. And we think about on our Service Center side, break-fix demand activity stayed strong throughout the quarter. That was positive. We're still seeing benefit coming from the cross-sell and the collaboration of those more advanced solutions is helping in that front. We think our industry position, service liability, the inventory that we have in place for some of those critical break-fix times and -- plus our local presence, all help that Service Center side of the business performed very well. Within Fluid Power, we saw nice execution on projects coming in. We've talked about having a productive backlog in Fluid Power. So, the team were able to execute on a portion of that backlog as suppliers improved some availability of products or perhaps the availability of smaller componentry that was holding up a shipment going out. The Automation team benefited from that and so organic growth into the 24% in that period, which was positive. And then, we're seeing continued strength around Flow Control. And it's typically a later cycle business. And so, we think that sets up well for the process flow control business and ourselves as we think about going into the second half.
Chris Dankert: Gotcha. So, it really is a lot of pieces all pulling together. That's great color. Thank you. And just kind of a follow-up here. Inventory was up again sequentially, but days are still kind of well below the long-term average. Maybe how should we think about inventory positioning today and maybe working capital into the back half of the year here?
David Wells: Sure. I'd expect working capital as we talked about in the script to be a bit of a tailwind as we move across Q3, but more pronounced in Q4. So, we did see some stabilization. To your point, we did see further increase, once again, really driven by those project focused businesses and that strong backlog position that we enjoy there. Did see some stabilization though, I said, as we move through November and December in terms of inventory levels, would anticipate kind of that being flattish as we move across Q3 as we continue to work through some of that project backlog and see some of those supplier constraints start to ease further. And then, we'd be targeting a reduction in inventory as we move in Q4. So, a tailwind when you think about the cash generation.
Chris Dankert: Understood. And if I could just sneak one last one in here. Given the rise interest rates and just kind of what we're seeing in very low leverage from you guys today, I mean has the target leverage range change from kind of that 1.5 to three times just given what interest rates are doing, or is it still that's kind of the long-term target for debt?
David Wells: We talked about longer term in a more normalized environment, 2% to 2.5% being the target, putting the balance sheet to work, working at accretive M&A that we've been so successful in driving value with. We are sensitive to the interest rate environment and the implications and leverage, continue to be improved in terms of the M&A and kind of really stay focused on the priorities. So, we'll be cognizant of that. But on the longer term over cycle is still a two to 2.5 times target in terms of that leverage ratio as we move forward.
Chris Dankert: Got it. Thanks so much for the color and best of luck in the back half of you guys.
Neil Schrimsher: Thanks Chris.
Operator: Thank you. [Operator Instructions] Next question is from the line of David Manthey with Baird. Please go ahead. Your line is now open.
David Manthey: Thank you. Good morning everyone. To dig in a little bit more here on the guidance, just so I understand, is it a fair statement to say that your assumption for the economic backdrop has shifted a few months to the right based on your new starting point that you've seen here in the first half of the fiscal year? Or has there been in fact a change in your view on the depth and/or duration of the downturn?
Neil Schrimsher: I can start. David, I would say it's -- it could be a shift to the right. We know what we can see from a visibility standpoint. And so, we touched on January and a solid start. We know the comps get a little more challenging in February and March in that side. And so, our view is we feel like we have very good line of sight to Q3 with that sales up to the mid-teens and expectations around margins and thus, those mid-teen incrementals. So, we see that. We just can ignore what could potentially be some of these cross currents and when they develop. We know our Service Center segment in Q4 has a tougher comparable. I think last year, it was up plus 21% in the side and even around the Engineered Solutions segment, it was good last quarter as well. So, we just want to be mindful as we inform or lay out the guidance.
David Manthey: That's very rational. You made a comment in the release that said the business is more resilient in past -- than in past cycles due to your channel strategy. Could you elaborate on what you mean by that?
Neil Schrimsher: I think it's a lot of the buildout of our capabilities, not only service centers and bearing and power transmission and the importance of those products, but what we're doing in Engineered Solutions around fluid power, the addition of process flow control and now the start with automation. With its run rate now at $175 million to $180 million, that's adding to our value proposition and offering that's very important to customers, plus our participation and presence in maintenance supplies and consumables on that front. So, as we buildout those capabilities, very helpful because I contend the customers are looking to consolidate their spend with fewer, more capable suppliers to partner with someone that can help them deal with their labor constraints and challenges and their operational desires for much greater uptime as they continue to serve their industry demand.
David Wells: And as we've said kind of regardless of what depth kind of comes at us in terms of a market slowdown, really feel like because of that more comprehensive offering, the ability to continue to drive kind of market outperformance with cross-sell, we have the ability certainly to soften that impact as we work through the next cycle as it comes. And regardless, we still know how to be operators and like I said, gauge the business accordingly as we've demonstrated through each of the downturns.
David Manthey: Okay. Thank you for that. I guess I'll stick with the theme of three questions, if it's okay with you guys. Could you talk about the average order size of an average discrete automation solution, maybe a little bit about the sales cycle there? I assume these are capital items for customers. Just anything you can share with us regarding the -- what that type of sale looks like in terms of magnitude and the sort of the length of time it takes to gear up, something like that?
Neil Schrimsher: Yeah. So, I don't know that I have the average order size, but let me come at it a couple of ways. I'd say; one, we are doing more to have productized solutions that can make this sales process go very quickly. And so, if a customer wants to deal with labor constraints and has machine tending, and they want to have fewer operators to each fabrication equipment, they can leverage collaborative robots and perhaps have one operator per four pieces of equipment. And so that's been an area that's been helpful. We're doing more in palletizing and help distribution oriented companies or to help the volume of outflows that people have dealt with challenges perhaps around warehouse labor. We're also active in envision for safety type products. And so, move from manual inspection on those. So, great enhancements and improvement, but also on consumer packaged goods, where you cannot have a labeling or product defect, especially if it's going to some key retailers, that packaging has to be pristine. And you just can't afford or do it effectively from a manual vision standpoint. So, those systems are very helpful. So that's helping the sales process go quickly. I'd say, Dave, on the other side, then we have sales engineers and application engineers that are connecting with customers, especially on our -- now our legacy service center side where we know their production equipment so well in solving a discrete automation problem or challenge. And so, we'll start focused and perhaps small of how mobile or mobile and collaborative robots can help our vision or motion control type products or maybe connectivity in the plant, and we're solving small projects. And I would say not all of them are going to the level that these are extensive capital projects that they're bringing along, but they're getting approved, but they opened the door for other projects within that plant. And based on the ownership equation of those companies into their other facilities, as they look to replicate that success or impact that we could have. So, we're encouraged by the business activity and the presence. It's not extremely long cycle massive investments that customers have to undertake to positively impact their performance with automation.
David Manthey: That’s very helpful, Neil. Thank you.
Neil Schrimsher: You are welcome.
Operator: Thank you. At this moment, I'm showing we have no further question. I will now turn the call over to Mr. Schrimsher for any closing remarks. Please go ahead.
End of Q&A:
Neil Schrimsher: Thank you, Malika. And I just want to thank everyone for joining us today, and we look forward to talking with you throughout this quarter.
Operator: Thank you. Ladies and gentlemen, that does conclude today's call. We thank you for your participation and disconnect your line. Have a good day.